Operator: Ladies and gentlemen, thank for standby, and welcome to the GoodRx Third Quarter 2021 Earnings Call. As a reminder, today's conference call is being recorded.  I would now like to introduce your host for today's call, with me Notaro, Vice President of Investor Relations. Ms. Notaro, you may begin.
Whitney Notaro: Thank you, operator. Good afternoon, everyone, and welcome to GoodRx's earnings conference call for the third quarter of 2021. Joining me today are Doug Hirsch and Trevor Bezdek, our Co-Founders and Co-Chief Executive Officer; and Karsten Voermann, our Chief Financial Officer.  Before we begin, I'd like to remind everyone that this call will contain forward-looking statements. All statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements, including statements regarding management's plans, strategies, goals and objectives, our market opportunity, our anticipated financial performance and the expected impact of COVID-19 on our business.  These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties and other important factors. These factors may cause our actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by the forward-looking statements. Factors discussed in the Risk Factors section of our quarterly report on Form 10-Q for the quarter ended September 30, 2021, and annual report on Form 10-K for the year ended December 31, 2020, and our other filings with the Securities and Exchange Commission could cause actual results to differ materially from those indicated by the forward-looking statements made on this call.  Any such forward-looking statements represent management's estimates as of the date of this call, and we disclaim any obligation to update these statements even if subsequent events cause our views to change. In addition, we may also reference certain non-GAAP metrics, which are reconciled to the nearest GAAP metric in the company's shareholder letter, which can be found on the overview page of our Investor Relations website at investors.goodrx.com.  I'd also like to remind everyone that a replay of this call will become available there shortly as well. With that, I'll turn the call over to Doug.
Douglas Hirsch: Good afternoon, everybody, and thank you for joining us today. In September, GoodRx celebrated its 10-year anniversary. Over the past decade, we've worked hard to create ways to help millions of Americans access affordable care. Today, we support patients across each stage of their health care journey delivering superior savings, trusted information and access to care to millions of Americans.  While many companies talk about making the world a better place, making a difference is what we do. GoodRx has now saved Americans $35 billion on their prescriptions, and consumer savings have increased to 80% of the pharmacy cash price. We been insurance over 50% of the time, and we continue to increase access to brand drugs for our pharma manufacturer relationships. For many of our users, GoodRx is not just about saving money, it's about whether they will be able to buy their medication or their children's medication or not.  In fact, we estimate that we have helped patients obtain at least 80 million prescriptions they otherwise may not have been able to afford. We believe that our impact has never been greater and with yet another quarter of record results that our business has never been stronger. Because of GoodRx, millions of Americans can now afford care. Because of GoodRx, millions of Americans are more informed and better prepared to make health care decisions from diagnosis to care delivery. And because of GoodRx, millions of patients are empowered to navigate the confusing world of health care, knowing they have a trusted advocate by their side. We continue building our broad and deep competitive mode, which is rooted in the trust we've established with patients physicians and companies across all of health care. Patients trust us and our consumer NPS of 90 is a testament to the important role we play in their care. Physicians and health care professionals trust us with over 2 million prescribers that have a patient that has used GoodRx and a very high provider NPS of 90.  Companies look to us as a way to introduce products and services and provide savings to our large and growing audience. We work with more PBMs and pharmacy than ever and have continued to strengthen those relationships. In addition to our 10-year anniversary in September, we also celebrated our 1-year anniversary as a public company. We've made meaningful progress towards creating one of the leading digital consumer health care platforms over the last year and have substantially expanded our highly extensible platform to address more of the consumer health care journey from more Americans. We continue to address more of our TAM by enhancing our prescription savings offering through the acquisitions of Healthy Nation, Rx Saver and Rx Next, launching brand drug integrated co-pay card, expanding our gold network entering into distribution agreements with DoorDash, USAA, Vectra awards and others and establishing or continuing relationships with 95% of the top 20 pharma manufacturers in the U.S.  We increased our diagnosis capabilities through the geographical and condition expansion of our telehealth services, rebranded them as GoodRx Care and created a more unified user experience. We built significant capabilities to support consumers in the research and prevention stage of the health care journey through the acquisition of Healthy Nation and the launch of GoodRx Health.  And finally, we've made an exciting step into the insurance marketplace space through our relationship with GoHealth. This has all been fueled by the passion of our team and unrelenting dedication to our mission. Despite our success, Americans still faced rising costs, decreasing life expectancy and poor health outcomes. We feel a tremendous sense of urgency to find more ways to help more people, and we believe that our efforts can help reverse those trends. In the coming years, we see more opportunities to help Americans fill more gaps to their health care journey, including navigating insurance as their trusted advocate, further personalizing the GoodRx user experience and extending our marketplace.  We believe that we are just getting started and have barely scratched the surface of the opportunity to transform health care in the U.S. We won't rest until all Americans have access to affordable, high-quality and convenient health care.  With that, I'll turn it over to Trevor to address key highlights from the quarter and trends in our business.
Trevor Bezdek: Thank you, Doug, and thanks to everyone for joining us this afternoon. I'm proud to report another quarter of strong performance. From our record revenue to record adjusted EBITDA and record users, the strength of our business is clear. We grew revenue 39% year-over-year to a record $195.1 million, and our adjusted EBITDA to $61.8 million, a margin of almost 32%.  These positive results were not only fueled by the strength and continued growth of our prescription transactions offering, but our ability to expand our platform from our historical focus on prescription discounts. Today, we impact millions of consumers and providers in many meaningful ways. We have built successful TAM expanding subscriptions, pharma manufacturer solutions and telehealth offerings that continued to grow rapidly in the third quarter, more than doubling and tripling year-over-year, respectively, in the case of the first 2.  We believe these offerings will continue to increase the LTV of our millions of users as well as attract incremental consumers to our extensible platform. Our provider NPS improved to 90 in the third quarter, and our consumer NPS remained high at 90. Our strong growth and attractive margins makes us what many call a rule of 70-plus company, much better than the traditional rule of 40, which we believe is unique at our size and in our space.  During the quarter, we increased our competitive moat by continuing to add new features and improving the user experience across prescriptions and telehealth, increasing our penetration in pharma manufacturer solutions, announcing an exciting agreement with Fetch Rewards to be their exclusive prescription savings provider and continuing to deliver on our mission to help Americans get the health care they need at a price they can afford.  We also launched GoodRx Health, which is a new potentially TAM expanding focus area for us they were particularly excited about. GoodRx Health is our next-generation online health resource where doctors, pharmacists and editorial experts provide authoritative answers to thousands of crucial health questions. The demand for health and wellness information in the U.S. is massive. Millions of users already come to GoodRx every month looking for health information, and with GoodRx help, we want to increase that number even more.  By adding GoodRx Health to our portfolio of resources, we aim to help more Americans at every stage of their health care journey from diagnosis to treatment and care. GoodRx Health allows us to reach more people in more ways through content that empowers them to be advocates to their own health across a wide range of health care decisions. GoodRx helps content focuses on 4 main areas: health knowledge, financial guidance, drug FAQs and trustworthy original research.  It is powered by a dedicated editorial team, including leading doctors, pharmacists and editorial experts and aims to tap into current medical perspective, with the goal of creating the most trusted and most useful health information resource on the Internet. We delivered this information in unique formats to help ensure consumers can quickly find the help the information they need. GoodRx Health is key to our constant strategy. We believe that the addition of GoodRx Health to our platform allows us to increase top of funnel traffic, reach more consumers, strengthen our relationships with our existing users and create new opportunities to leverage M&A to provide incremental services and further lift LTV as we help address the needs of broader consumer and provider audiences.  We believe GoodRx Health will particularly support the great momentum we've had with our pharma manufacturer solutions offering. We see a tremendous opportunity to leverage content to help consumers and providers navigate the complex world of brand medications and increase awareness, access and adherence. GoodRx Health is key to this content strategy, which we started executing earlier this year with the acquisition of Healthy Nation. We believe that the investments we're making in content between GoodRx Health and Healthy Nation have the potential to continue to drive this offering steep growth trajectory.  During the quarter, we also became the exclusive prescription savings provider for Fetch Awards, further increasing the reach of our prescription transactions offering. Fetch Rewards over 10 million active shoppers can now find GoodRx prescription savings directly in the Fetch Reward app, allowing them to seamlessly access GoodRx discounts on medication at over 70,000 pharmacies nationwide. We're excited to partner with Fetch Rewards and offer its millions of users a way to save on prescription medication, and we see opportunities to expand this partnership in the years to come. Fetch Rewards represents another relationship that is additive to the direct-to-consumer acquisition strategy. It has already helped us serve millions of Americans since we launched our platform a decade ago. In the third quarter, we helped 6.4 million monthly active consumers and 1.6 million subscription members save on their prescription medications.  The combined reach of almost 8 million represents approximately 34% year-over-year growth. Our pharma manufacturer solutions offering has continued to grow incredibly fast with another quarter of over 3x year-over-year growth. This reflects our brand strength with consumers and our deep relationships with the health care providers that manufacturers seek to leverage. Approximately 25% of our platform visitors are health care providers who have awarded us within 90 MDS and over 400,000 doctor offices distribute GoodRx materials, which are some of the reasons with over 2 million prescribers have a patient who has used GoodRx.  During the quarter, we continued to increase our pharma manufacturer brand penetration and started building a promising bookings pipeline for 2022. We have entered into an exciting agreement with CoverMyMed to further our pharma manufacturer solutions business. This is a joint go-to-market effort to create custom prescription discounts for consumers supported by the pharma manufacturer. This opportunity includes joint commercialization as well as integrated technology components, create a seamless experience for patients, providers and pharmacies that provides the patient tools and support most relevant to their specific journey to get on and stay on therapy.  CoverMyMeds is a leader in biopharma supported solution for patient affordability. And as a leader in consumer affordability solutions, we see this as a natural partnership. We're excited about the progress we're making to help increase consumer awareness access inherence related to brand locations. GoodRx Care continued to resonate with consumers with a 3x increase in demand since the onset of the pandemic and is a likeful user experience with 5-star atretic. Care focuses on low-cost prescription associated conditions and provides another entry point for consumers to access our highly extensible platform at a critical point in their health care journey. Approximately 65% of GoodRx Care visits are driving incremental revenue through our other offerings, up from 30% earlier this year by providing consumers with a quick and easy way to see a licensed medical provider for a range of primary care services, care helps consumers, save time and money while keeping them in the GoodRx ecosystem.  We believe this cross-sell increases consumer lifetime value. Before I turn it over to Karsten to discuss our financial results and guidance, I'd like to speak to some market trends that have impacted our expectations.  The last 20 months of COVID have certainly been unprecedented, and I'm proud to say we have successfully navigated our way through much of the uncertainty. Our third quarter record results are a testament to our ability to succeed and to increase our share of the market, even though COVID effects have remained longer than any of us expected. With that said, it continues to be challenging to predict health care utilization trends amid the pandemic.  Earlier in the year, when the country largely reopened after the vaccine became more widely available, we expected that health care utilization would rebound to pre-COVID levels and beyond with normal seasonal trends around flu and acute medication returning in the second half.  However, what we have seen so far is a continued diagnosis backlog reflecting a lag in certain areas of health care utilization recovery as well as volatility in the recovery pattern, whether due to physician office capacity limits, the emergence of new variants, people electing to further like care and a variety of other reasons, which we believe are largely temporary. While the exact timing remains uncertain, we continue to believe the unwinding of the diagnosis tack-on will serve as a fuel for fast future growth.  We are continuing to build a platform that we believe delivers significant value to consumers. In an area of their life that is nondiscretionary and critical and believe we are very well positioned when utilization does increase and regular health care usage and patterns resumed. As we reflect on the quarter and our broader mission, I couldn't be more proud of our strong results and the progress we are making toward our goal of filling more gaps in health care.  We are just getting started and see exciting opportunities to expand our platform and range of services over time. With that, I'll turn it over to Karsten to discuss our financial results and guidance.
Karsten Voermann: Thank you, Trevor. Good afternoon, everyone, and thank you for joining us today. The third quarter was another strong quarter for our business. We continued to deliver record revenue at attractive margins while growing our consumer and provider base, deepening our competitive moat and extending our platform. Revenue for the quarter was $195.1 million, growing 39% year-over-year.  Prescription transactions revenue grew by 25% year-over-year to $155.7 million, driven by a 31% year-over-year increase in our monthly active consumers, which reached a record $6.4 million. This was partially offset by a year-over-year decrease in Prescription transactions revenue per MAC related to Scriptcycle and Xaver, which have lower revenue per consumer. GoodRx prescription transaction economics have otherwise remained consistently strong. This is the first quarter that our MAC number includes estimated RxSaver Max. RxSaver's prescription transactions revenue and MAC count are de minimis relative to GoodRx's scale. The RxSaver MAC count as an estimation due to incomplete consumer information. However, it is immaterial relative to GoodRx's MAC account. As a reminder, monthly active consumers represent the number of unique consumers who use GoodRx to save on their prescription in a given month, and it does not include consumers of our other offerings such as subscriptions pharma manufacturer solutions and telehealth.  When presented for a quarter, monthly active consumers represent the average of the calendar months in the quarter. Monthly active consumers from acquired companies are only included beginning in the first full quarter following the acquisition. Subscription revenue grew rapidly, up 111% year-over-year to $16.2 million.  We finished the quarter with 1.13 million subscription plans and approximately 1.6 million members benefiting from our subscription offerings since our family subscriptions generally serve multiple consumers. Our subscription count and subscription revenue should provide a more holistic view of our growing consumer base and reflect another way we monetize a portion of the millions of visitors on our platform.  Looking at our total prescription-related offerings, we had $6.4 million MAC in our prescription transactions offering and over 1.6 million members associated with our $1.13 million subscription plan [Technical Difficulty] on sales and marketing spend and investments in our general and administrative infrastructure as we began operating as a public company. We continue to generate strong cash flow with net cash from operating activities of $48.6 million for the quarter.  And now turning to guidance. For the fourth quarter of 2021, we expect revenue of $212 million to $222 million, reflecting 38% to 45% year-over-year growth.  We believe this growth will be driven by a continued triple-digit increase in other revenue based largely on the continued momentum in our pharma manufacturer solutions offering, combined with continued growth in subscription and prescription transactions revenue.  On the adjusted EBITDA front, we expect an adjusted EBITDA margin of approximately 30% for the fourth quarter. Looking at the full year, our fourth quarter guidance implies full year revenue guidance of $744 million to $754 million, with the midpoint at approximately the midpoint of our prior guidance range we provided on our first quarter earnings call.  On the adjusted EBITDA front, our 30% fourth quarter guidance puts us at the midpoint of the full year 30% to 32% range we provided on that May earnings as well.  As we discussed during our third quarter earnings call, COVID's trajectory as well as its second order impact that may potentially reduce acute volumes in the 2021 to 2022 cold and flu season impact like last winter, challenges around predicting results. When we provided our full year guidance during our first quarter earnings call, our assumptions included a return to normal health care utilization and customary seasonal trends around acute and flu starting in the second half of the third quarter. We continue to see modest improvements, which our record revenue reflects but we have not seen a return to normal in all areas of utilization. And it is too early to assess the size of the impact of the cold and flu season, which historically contributed materially to our revenue, you may recollect we discussed the flu impact of approximately $5 million last winter.  These effects impacted both initial fills and new prescriptions they also reduced our refill volume. The COVID and cold flu predictability challenges also contributed to our decision not to update full year guidance during the second quarter earnings call as we discussed then. Both because of the unpredictability of COVID and cold flu activity and the fact that people may defer health care visits into the new plant and deductible period starting in January 2022, we believe it is prudent to continue to provide a wider revenue range for the fourth quarter than we may otherwise have.  Depending on the trajectory through the rest of the fourth quarter, this unpredictability could impact our results, particularly with respect to prescription transactions and subscription revenue. Our current guidance assumes that as COVID continues to recede, the cold and flu season will revert to higher historical levels and utilization will rise through year-end, though the exact timing and magnitude remain uncertain.  We view COVID-related health care utilization effects as temporary, and we look forward to the unwinding of the $1 billion-plus and diagnosed condition backlog, which we expect to amplify new prescription and prescription transactions revenue growth in 2022 and possibly beyond.  The other reason for our wider guidance range relates to our exciting pharma manufacturer solutions offering, it is already our fastest-growing offering at over 3x year-over-year growth and has over 150% net revenue retention with extremely attractive unit economics. Pharma Manufacturing Solutions is growing rapidly and has the potential for large deals in the fourth quarter, which is typical in this space. These deals may accelerate growth even further, driving some additional variability in our results. Consistent with the trend in the last few quarters, we expect our nonprescription transaction revenue offerings, which are reflected in subscription revenue and other revenue to continue to make up a higher percentage of our total revenue.  In the third quarter, they made up 20% of total revenue, an increase of approximately 400 basis points compared to the first quarter, and we expect that to increase by 200 to 400 basis points more to approximately 22% to 24% of total revenue in the fourth quarter. The reasons for this wider range of mix outcomes are similar to those I described around variability, both in prescription transactions revenue and pharma manufacturer solutions.  This means prescription transaction revenue, which is driven by MAX will make up a smaller share of total revenue as more visitors and MAX convert to subscribers and as we continue to grow pharma manufacturer solutions.  Before I conclude, One note on our income tax provision or benefit. As you can see, the volatility in our tax provision continues and after recording a significant tax benefit in the second quarter, we had a $19.2 million tax expense in the third quarter. We continue to expect unpredictability in our future tax provision or benefit amounts due to multiple elements and estimates that impact the interim income tax accounting calculations.  One of the most significant elements is excess tax benefits or deficiencies resulting from stock awards. This element is challenging to forecast as it is generally driven by factors outside of our control, such as the stock trading price and the decision of employees relating to their awards. This is one of the reasons we are presenting adjusted net income and adjusted tax. GoodRx's impact has never been greater and with yet another quarter of record results, our business has never been stronger. We are building the leading consumer-focused digital health care platform in the U.S. and plan to continue investing our strong cash flows in our platform, product, user experience and our brand with the goal of creating the best consumer experience and improved health care affordability and access for all Americans.  Thank you for your continued interest in GoodRx. We look forward to sharing our progress in the quarters to come. And with that, I'll now turn the call over to the operator for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Elizabeth Anderson with Evercore ISI.
Unidentified Analyst: I was wondering you gave some nice color on the impact of COVID in the quarter and sort of what you're seeing in terms of the rebound and visits. Can you talk to us a little bit more about sort of how maybe the trend continued as delta declined over the course of the quarter? And if you could remind us how you sort of think about usage of GoodRx for perhaps cold cough and flu type prescriptions versus something that you would think of maybe more as deferred care type situations?
Douglas Hirsch: Thank you very much for the question. Karsten, could you speak to this?
Karsten Voermann: Sure. Elizabeth, thanks for the great question and great to speak to you again, too. We're really proud of the results we had this quarter with another quarter of record revenue, record adjusted EBITDA and record users even with that sort of legacy of COVID still hovering over us to some degree. We think it's a testament to our ability to succeed and increase our market share even with those kinds of headwinds. And we have seen modest improvements in prescription volumes, which are reflected in the robust sequential growth. And we see the market as a whole slowly inching back towards pre-COVID levels. That said, we expect it to take a quarter or 2 for prescription volume to return fully to those pre-COVID levels, particularly in relation to acute conditions and new prescriptions even with our expectations that this year, we'll probably see a normal cold and flu season, a more robust 1 like 2 years ago as opposed to the one we had last year. It's important to note that for GoodRx, not only about total prescription volume, it's also that new therapy starts, the mix of acute versus chronic and seasonal trends like the cold and flu end.  If you recollect last winter, when we talked in our calls, we mentioned that the weak cold and flu season cost us about $5 million in revenue, which is significant, of course. The other aspect of it is that after 20 months of lower new therapy starts through COVID, that translates into, among other things, a lower rate of refills, too. Again, we think that our results occurred and our record outcomes happened in spite of that reality. As for cold and flu specifically, since you raised that as well, the numbers we're seeing so far look better than last year, but it's a little too early since they're so small at this stage tell to fully assess the impact. Again, as far as we thought about it from a guidance perspective, with our 38% to 45% year-over-year revenue growth guide of 41.5% at the midpoint for the quarter. We're assuming that cold and flu will be back this year with respect to that.  Finally, the other elements that are going to be big our pharma manufacturer solutions and the contribution of subscriptions as well as our prescription transactions revenue, I think we'll see volumes continually increase on the PTR side, the prescriptions transaction side, through the rest of the fourth quarter. And the variability in acute cold and flu and seasonal trends are things that we expect that this year will enure to our benefit.  I think the most important point, though, is to radiata the point Trevor made earlier in the call, when the country largely reopened at a vaccine became available, we expected health care utilization to rebound to pre-COVID levels pretty quickly, with normal seasonal trends around cold and flu and acute is well returning pretty quickly in the second half. However, what we've seen so far is a continuing diagnosis backlog that reflects lags in certain areas of utilization as well as general volatility, and it may take a couple more quarters for those to follow to fully smooth out even with the positive impacts of cold and flu. Hopefully, that's helpful. Apologies for the long answer, but there's a lot of meat in that question a little bit.
Operator: Your next question comes from the line of Jailendra Singh with Credit Suisse.
Jailendra Singh: I actually wanted to follow up on your GoodRx Health platform you have rolled out. I kind of want to better understand the benefits this might generate for Pharma Manufacturer Solutions business. Help us understand how it differentiates GoodRx? And do you expect to see benefits to your other business as well? And the last part there is that with GoodRx Health now live, have you seen incremental interest from manufacturers for your Pharma Solutions business?
Trevor Bezdek: Thank you very much for the question. I'm excited to speak about GoodRx. As we look at what we've accomplished since our IPO a year ago, one of the things we're really excited about is that we've extended our platform to reach consumers across even more stages of the health care journey. And so GoodRx Health is another way for us to advance that effort. We have millions of users who are already coming to GoodRx every month to navigate their health care and lots of them are looking for health information. So by adding GoodRx Health, we can increase that number, we can help even more consumers navigate more stages of this journey. We find that not everyone has the need to use our prescription related or tell offerings when they come to the platform. But if we can help them in other ways such as insights and tools, we start building relationships with them and then we deliver them value over time. So GoodRx Health is this great online health resource, consumers and providers can find answers critical health questions. It has over 2,500 videos covering 350 conditions, which we augmented by acquiring Healthy Nation earlier this year.  It's already made an impact of a 60% year-over-year increase in our content traffic, our newsletter is now reaching 5 million -- have now reached 5 million sign-ups earlier this month. To your question about farmer manufacturers, it definitely with GoodRx helps drive growth in the pharma manufacturer solution. And that part of our business is doing extremely well with the 3x -- more than 3x year-over-year growth that we've discussed. It helps us increase awareness, access, adherence for brand drugs to these other areas. It drives volume and acquisition into all areas of our business, and this will continue to help us deliver strong results like this quarter with the record revenue, record profit, record users that we're happy to report.
Operator: Your next question comes from the line of Sean Dodge with RBC Capital Markets.
Sean Dodge: On the PTR per MAC, the take rate you all have shared has crept up the increase there, is that just a function of PBM mix, you're driving more volume through PBMs that you have more favorable agreements with? Or is this more same-store driven where you're negotiating more favorable economics maybe when the PBM contracts come up for renewal? And ultimately, what I'm looking for is just some help better understanding what kind of runway remains for driving PTR per MAC higher over time?
Trevor Bezdek: Karsten, could you speak to this one?
Karsten Voermann: Yes, I'd love to, and thanks for the great question, Tom. GoodRx unit economics and the prescriptions transactions offering have been pretty consistent and increasing on a trajectory over time. We believe that this is really sustainable because the volume we drive for our PBM partners is largely incremental and goes almost directly to their bottom line. Another good piece of evidence for that is that we've continued to expand our PBM network and our take rate has continued to modestly increase in some mid-teens realistically, the PBMs, I think absence would have lower revenue and lower contribution as well. If you look at it through the lens of PGR per MAC, as you did, we see PGR per MAC increasing was up about 1% quarter-over-quarter compared to the second quarter, primarily because of PBM mix and continued improved economics.  On the year-over-year basis, PTR per MAC looks like it's down, but that's solely due to M&A and elements like Scriptcycle and RxSaver. If you ignore those PTR per Mac, is actually up in the mid-single-digit percentage points exactly as you'd suggested it would be. It's not really a KPI we manage to, but it's when that happens and manifests, given the nature of our relationships with our PBMs, the volumes we drive to them and the benefits those volumes give us and ultimately, the strength of the business overall that's leading to drive this volume to our PBM partners.  We're really pleased to continue this trajectory, and we expect that we'll maintain our strong unit economics. And so to your question of a little help, I think we expect that the historical trends that you've seen so far. We'd expect that those historical trends manifest themselves as well.
Operator: Your next question comes from the line of Stephanie Davis with SVB Leerink.
Stephanie Davis: You've announced a bunch of partnerships over the past few months. We've had patched Surescripts a bunch going on. So I was hoping you could walk us through how you should think about the follow-on impacts of these partnerships, both on the membership side and on the marketing spend side?
Trevor Bezdek: I appreciate the question. We want to reach consumers across all of the different areas we can. We're really excited about the growth of our prescription and offerings. We now have nearly 8 million monthly users, made up of $6.4 million monthly after consumers and 1.6 million subscription members. And we're just really always looking for additional ways to reach and help more Americans. So given it's one of the ones you mentioned, we're really excited about the partnership we're announcing this quarter about being the exclusive prescription savings provider for Fetch Rewards, is the fastest-growing consumer loyalty and shopping rewards out in the U.S. This lets us reach their 10 million active shoppers. So the reach is significant. And those users can now find or prescription savings directly in the Fetch app. And this is another great relationship that lets us aggregate consumer demand. It's similar to the ones as you're referring to that we entered into with the USAA and DoorDash earlier this year. And so these relationships allow us to continue driving this great growth we're seeing in prescription-related offerings, where we saw users grow 34% year-over-year, resulting in this record quarter.  When we look at this overall, we see demand aggregation as a whole just being another way to help lower cost of acquisition and reach more consumers through these B2B efforts. And so we're seeing success in these partnerships as well as through the other ways we generate demand across the business.
Operator: Your next question comes from the line of John Ransom with Raymond James.
John Ransom: This is probably for Karsten. So in your 4Q guidance, what is the estimate for marketing spend?
Trevor Bezdek: Karsten?
Karsten Voermann: Thank you, Trevor. Appreciate it. Yes, I think when we look at fourth quarter and we look at the guidance generally. Again, the focus was on top line. And from that perspective, I think it's 38% to 45% and about 41%, 42% at the midpoint, driven by what we've seen in the trajectory of the business so far. As it relates to marketing spend, specifically, we haven't broken that out in the guidance, but we expect to continue to make marketing investments consistently with the ones we made in prior quarters.  When we started the year off and we're discussing our guidance, even at the end of last year around this time, we had said that 2021 would be a year in which we invested heavily in product and in marketing, I mean anticipation of coming out of COVID, having the deferred undiagnosed condition backlog receipt et cetera. And so that was the focus for and the catalyst for continuing to invest in those 2 areas, marketing and product. I think from where we stand now, too, we're looking at a bunch of effects in the first quarter of next year potentially. Folks are entering a new deductible plan year. They're making decisions about their health care right now and entering into next year. We see COVID continuing to recede. It took longer than we may have expected than most may have expected this year earlier. But the continued receding of it will continue to provide us, was a nice tailwind into next year, too. And so we want to put enough marketing behind that in the fourth quarter already to be able to take advantage of it. So hopefully, that gives you a bit of perspective on how we're thinking about marketing and teeing up 2022 and beyond.
Operator: Your next question comes from the line of George Hill with Deutsche Bank.
George Hill: Is, I'm wondering if you are in a position yet to try to quantify what you think the impact of COVID-19 has been in the 2021 fiscal year? And maybe if you're able to think about quantifying how we should think about the diagnosis backlog just as we think about what is the right jumping off point from a from a user's basis on a prescription basis as we look for 2022?
Trevor Bezdek: Thank you very much for the question, I'll let Karsten also speak to this answer.
Karsten Voermann: Yes, George, we really see the diagnosis backlog is a pretty huge opportunity actually. Just today is looking at another chart physician visits over time. And we're running according to what I was looking at today, at least physician visit volumes that are pretty much identical to what they were back in 2016. And that's subsequent to them having grown in '17, '18 and '19 before falling off again in COVID. And so I think, generally, the net effect of all of that on our view of our business going forward in '22 and beyond, in particular, is that the unwinding of that backlog just inevitably is going to be a significant tailwind. I think the other impact is that even now as we go into the fourth quarter, our belief is that the cold, flu season will return in more robust Form 2, just given the opening of the economy generally. With respect to specific '22 guidance, we're not going to do that now, but we are evaluating and analyzing the degree to which both the decreased new prescription starts during COVID and the related refills have impacted the business to get a little bit more perspective for ourselves and for all of you who joined these calls with respect to 2022 and how 2022 could be differentially benefiting from a shift back to normality. Because we do see not just that initial fill but the associated refills as having been a drag that we've had to fight through to be able to deliver the record numbers that Trevor alluded to in the call earlier today.
Operator: Your next question comes from the line of Doug Anmuth with JPMorgan.
Douglas Anmuth: I don't think you talked about Surescripts. I was just hoping you could talk a little bit more about the integration there. And how the rollout is going and perhaps how we should think about the timing for some bigger impact there? And then secondly, just on Manufacturer Solutions, pretty clear the strength within other revenue. Just curious how you're thinking about when that business might be able to shift from a mostly fixed fee structure to something that's based more on a CPM model over time?
Trevor Bezdek: Thanks for the question. So first for Surescripts. We have incredibly deep long-standing health care provider relationships. HCPs were some of the earliest champions of GoodRx. We're extremely proud of these deep relationships we've built with health care providers over the past decade, and they're a really important driver of consumer awareness. As we've mentioned in the past, there are 2 million prescribers in the U.S. that have a patient that has used GoodRx.  And according to our survey, 80% of physicians recommend us, and GoodRx's awareness among physicians is a remarkable 88%. So the agreement with surescripts creates another exciting way to continue to strengthen that physician relationship and make it easier for health care professionals to recommend GoodRx. So by working with surescripts, we can help prescribers make more informed decisions and address prescription cost concerns for uninsured patients and patients whose coverage is not available via Surescripts. With more health care professionals and consumers accessing our prices in a simple and easy way, we're glad to be working with surescripts to support providers at the point of care. And while it's early, so far, we are pleased with the progress of that work with surescripts. Two, manufacture solutions, our pharma manufacturer solutions offering has continued to grow incredibly fast with another quarter of over 3x year-over-year growth. That reflects the brand strength we have with consumers, our deep relationship with the health care providers that the manufacturers are also seeking a leverage.  So last quarter, we talked about the relationships with -- that we have with now with 19 of the top 20 manufacturers. We continue to penetrate those accounts. We're starting to get -- we're starting to increase sell-through with 1,000 brands. Additionally, that are part of that. And in the third quarter, we just continued to increase the manufacturing and penetration. We're also excited that we're offering these additional solutions such as the agreement we have with CoverMyMeds. And one thing we'd also like to mention on the front of health providers is they now make up 25% of our website visitors and the NPS with HCP has actually increased from the 86 that we were very happy to speak to you before to now an NPS of 90 with health care providers. Pharma Manufacturer solution is our fastest-growing offering, has extremely high net revenue retention, over 150%, very attractive unit economics. And we're not trying to optimize rates right now relative to the fixed or such, we're trying to get market share. This is a $30 billion TAM that we can penetrate that full TAM on both consumer and provider standpoint, and we're just getting started there. But it's going great and growing very quickly, and we're very pleased with the progress
Operator: Your next question comes from the line of Craig Hettenbach with Morgan Stanley.  It's Craig on for Ricky. You commented that
Unidentified Analyst: 2021 has been a year of investment. How are you thinking about this into 2022? Does it sustain? Or are you anticipating more operating leverage as you roll into next year?
Trevor Bezdek: Thank you for the question. Karsten, can you speak to this?
Karsten Voermann: Sure. Craig. And thanks, Trevor. Yes, I think as we look into years to come, we think that marketing will ultimately provide us with incremental leverage going forward. This really ties a lot to unaided awareness levels, among other things. And as awareness levels get better and better. each dollar of marketing spend becomes more and more valuable. And we've seen a very positive trajectory in our unaided awareness levels, which will be the foundation for that, Craig. So that perspective, I think our long-term view of the business hasn't shifted in terms of being margin accretive, both on the marketing side and on the product side, of course, too, since product investments made for just a few users or for many, many users generally take the same amount of investment to produce. So from that perspective, we're definitely looking forward to being able to leverage the business on multiple fronts.  We also have other lines of business like the one Trevor is just speaking to, which is manufacturer solutions. And that makes up a bigger, bigger portion of our revenues. And it's effectively nearly all margin, right, because it's just sales cost associated with it. So that ends up pulling up overall margins for the business too as a share of revenue increases. And I think one thing that gets forgotten some of the time is that there have been some permanent shifts in how pharma manufacturers address health care professionals, in particular. Like Trevor said, we have incredibly strong relationships with them, first champions of GoodRx. About 400,000 of them have GoodRx collaterals in their offices, many, many more used GoodRx as Trevor articulated too. And all of these folks have 1 thing in common, which is they don't love pharma detailers coming into their offices, especially in a COVID-rich environment. And that's made a permanent shift to more digitally based marketing by pharma manufacturers, which we're benefiting from because we have this such amazing HCP access and can offer coordinated messaging that allows pharma manufacturers both to reach the health care providers and patients through GoodRx in the same way.  So we're just very passionate and very excited about that. And again, to your margin question, it's not only about the OpEx side and leveraging marketing and leveraging tec/development. It's also about driving margin on the revenue side through the mix in revenue that we'll be achieving in the years to come.
Operator: Your next question comes from the line of Vikram Kesavabhotla with Baird.
Vikram Kesavabhotla: I wanted to ask about the subscription revenues. Obviously, another strong quarter of growth there. But just look like the year-over-year growth decelerated a little bit versus the last quarter. And so I'm just curious to get your thoughts on how we should think about the progression of growth on that line moving forward? And as you look at the user base today, I mean, what's the realistic mix of subscribers versus MAC that you think you can achieve over time based on the utilization behavior that you're observing on the platform?
Trevor Bezdek: Thank you for the question. Yes, GoodRx serves millions of consumers every month with different solutions. We have prescription discounts, telehealth services, pharma manufacturing solutions and content insights through GoodRx Health, as we discussed today. And the usage of our platform continues to increase across the board. So we're extremely excited about the strong 68% year-over-year growth in subscribers across Golden Kroger and the fact that we've reached 1.6 million subscription members. We're also excited about the 34% year-over-year growth when combining the monthly asset consumers and the subscribers. And that's how we typically evaluate consumer reach and the scale within our prescription-related offerings.  The reason we look at our combined reach is that our goal is really to get users to the product that makes more sense to them, and we test within our funnel, which is largely a similar funnel for prescription transactions and subscriptions in a way that reflects us trying to get people to the best product for them. So the rate of growth of subscribers will also depend on the pace in which we add benefit, like mail and discount telehealth and the pace we expand the Gold pharmacy network, such as how we added [indiscernible] this year and is just we further extend the gold benefit and reach. So we remain extremely excited about the future of gold and our subscription offering as a whole, and we plan to continue to deliver additional benefits to the subscriber base to increase the value proposition over time. And that's how we think of it as part of this larger growth and the larger ability to us to reach these record users, which helps us reach the record revenue, record profit that we're able to report this quarter.
Operator: Your next question comes from the line of Stephen Valiquette with Barclays.
Steven Valiquette: So a couple of questions here that are somewhat related. First, from time to time, you guys have provided some approximations for the percent of your users that are uninsured versus the percent that may have a commercial and/or Medicare prescription drug coverage. So I'm curious if you have any updates on the evolution of those trends and where that stands right now. And also tied into that with a fairly high probability that millions of Medicaid, enrollees will likely lose coverage during '22 and into '23, I'm curious how much of that is on your radar screen as a potential catalyst for new user growth. Do you have any special levers to capitalize on that population beyond your normal DTC advertising channels?
Trevor Bezdek: Thank you for the question. I think as we look at the mix, it's relatively unchanged, even with the slight changes in the population mix in the U.S. As we look at our users, the percentages continue to be about the same, over 75% of our users have insurance. Relative to Medicaid, as people, unfortunately, end up in -- lose coverage and end up without solutions there, that will just help drive more people to look for benefits with us. And so in this case, an unfortunate positive for our business. As speaking to how to capture that, all of the general demand generation efforts we do continued help in a situation like this also. We try to just make sure people become aware of GoodRx in their time of need. And so that happens via the marketing we do. And it happens via the way -- the largest ways we acquire customers, which we'd like to just make sure people recall is that the largest portion is an unpaid acquisition. It's people's health care providers telling them to use GoodRx's word of mouth. It's just the extremely high satisfaction, people give their solutions, the 90 NPS that consumers are getting that drives this continual referral at this point of care. And so unfortunately, in this case, as [indiscernible], it's likely a net benefit to growth.
Operator: Your next question comes from the line of Justin Post with Bank of America.
Justin Post: Yes. I think first, I'd love to hear any update on the GoHealth initiative? Are you seeing more activity around Medicare patients? And then just high level, some of the legislation around drug pricing, any thoughts on that on whether there'll be any impact to your business or not?
Trevor Bezdek: Great. Thank you for the question. I'll speak about the GoHealth and then I'll hand it over to Doug to speak about regulation. So on the gold Health side, we've built GoodRx platform and the business to be highly extensible and scalable Today, we offer prescription savings, tele services, pharma manufacturer solutions, but we see significant opportunities to help even more gaps in the consumer health care experience. As I mentioned, we're extremely happy in this year since we feel of how much we have offer consumers additional services along their health care journey. And we spoke about how insurance is just as large addressable category that we find very compelling since -- as I just said previously, 75% of our users have insurance, over 30% are on Medicare. And of those larger users navigating insurance and helping them get our insurance is something we had not specifically addressed before. But in the case of GoHealth specifically, we are helping people get on Medicare plans.  So the GoHealth agreement lets us help Medicare eligible consumers find and enroll in the best Medicare plans for their needs. And we've worked really closely with GoHealth to make sure we're delivering a great user experience that guides people through to Medicare plan navigation, open enrollment for Medicare just started last month. And so far, we're very pleased with the traction we're seeing. But this is really only 1 of many platform extensions we're working on to help this large and growing audience of users that we have navigate even more stages of their health care journey. So I would expect people to see even more additions to areas we can address as we move -- as we continue moving forward here. And now I'll let Doug speak to the other part of your question.
Douglas Hirsch: Sure. Thanks again for the question, and thanks for having us. Look, GoodRx has been around for about a decade, and we've seen many proposals and policies across multiple administrations. And with the bid administration, we continue to be aligned with the political objectives of driving affordability and access to health care for all Americans. There's been a ton of discussions, as you know, everything from an Asian ship policy document to discussions about the reconciliation and build back better plan. And they're primarily focused on Medicare, as you indicated. But within Medicare, they're really focused on a few dozen expensive brand drugs. This administration supports transparency, that's what GoodRx has been about since the day we started. We want to educate patients and give them the information they need. And we believe some regulations in this area, such as data affordability rules are good for Americans and good for our business as well. We actively track these legislative developments. We continue to be engaged with policymakers. In fact, GoodRx often quoted in pilot 2 because we have the ultimate vantage point on consumers. And we feel incredibly confident about where we are, and we don't see any specific impact to our business from any of the legislation that's proposed to date.
Operator: And that concludes our question-and-answer session for today. I will now turn the call over back to Mr. Trevor Bezdek for closing remarks.
Trevor Bezdek: The third quarter was another record quarter for our business. We continued to deliver record revenue at attractive margins while growing our consumer and provider base, extending our platform and accessing a larger TAM. Over the past decade, we have learned a lot about the challenges of American space when it comes to their health care, and we continue to innovate to provide meaningful and impactful solutions. In the coming years, we see tremendous opportunities to continue to help Americans navigate their health care journey as their trusted advocate. We believe our trusted brand and the strength of our relationships in combination with our highly extensible platform and offerings positions us well to win across the $4 trillion health care ecosystem for years to come. Thank you for joining us on this journey.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.